Operator: Excuse me everyone. We now have Sean Reilly and Jay Johnson in conference. [Operator Instructions]. In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions on the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in the company's third quarter 2024 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's third quarter 2024 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean Reilly: Thank you, Brittany. Good morning to all, and welcome to Lamar's Q3 2024 Earnings Call. Business trends continue to be encouraging as we near year end. For the third quarter, demand from local and regional advertisers remained robust, and we saw particular strength from our programmatic sales channel, which helped offset broader weakness from our national advertising base. For the quarter, consolidated revenue grew 4% or 3.6% on an acquisition-adjusted basis, the 14th straight quarter of growth for Lamar. Revenue increased across all products, billboards, transit, airport and logos and all operating regions. Expenses meanwhile ran a little bit hot, increasing 5.4% on an acquisition-adjusted basis versus the year earlier period. Recall that we had a tough comp as a result of some COVID relief grants we received in Q3 of 2023. We also saw some spikes in medical costs and in contract labor in this year's third quarter that contributed to the increase. Some of this was a simple matter of timing. The good news is that we see expense trends correcting in Q4, and Q4 revenue is pacing handily ahead of Q3 aided by record levels of political spend. As a result, as you saw, we have raised our guidance for full year AFFO per share to a range of $7.85 to $7.95 per share, which at the midpoint would be an increase of nearly 6% over 2023. For the full year, consolidated EBITDA margin should come in right around 47%. Back to Q3, in addition to political categories of particular strength were Services, Building & Construction and Government nonprofit. All of these categories skew local. Some of the categories that were weaker, insurance and restaurants tend to skew national. On a consolidated basis, our local/regional revenue was up 4.9%, while national was off 2.9%. Our digital revenue grew by nearly 5% in the quarter with particular strength, as I mentioned, from our programmatic channel, where revenue increased over 70% from the year earlier quarter. We are continuing to see new customers in new categories such as consumer packaged goods and pharma in the programmatic out-of-home space. On a same-store basis for large-format billboard digital, revenue was up 2.1%. Our customers continue to appreciate the flexibility that digital provides. So after somewhat of a slowdown in deployment in 2024, our plan is to reaccelerate our rollout of new units for 2025 with an internal goal of 375 to 400 new digitals. 2024 has been a quiet year on the M&A front, as we expected it would be. Deal flow, however, has begun to pick up, and we anticipate much more activity for tuck-in transactions in 2025. In short, I like how we are finishing 2024, and although it is too soon to make any firm predictions, I believe 2025 is shaping up to be another successful year. I'll leave it there for now and turn it over to Jay to walk you through some more numbers. Jay?
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. We continue to experience solid top line growth in our portfolio during the third quarter. Our billboard regions grew acquisition-adjusted revenue in the low to mid-single digits, with the exception of the Gulf Coast, which is relatively flat, growing approximately 50 basis points. Adjusted EBITDA for the quarter was $271.2 million compared to $265.7 million in 2023, which was an increase of 2.1% or 1.8% on an acquisition-adjusted basis. Despite the growth in operating expenses, adjusted EBITDA margin for the quarter was strong at 48.1% and remains well above pre-pandemic levels. Adjusted funds from operations totaled $220.7 million in the third quarter compared to $208.8 million last year, an increase of 5.7%. Diluted AFFO per share increased 5.4% to $2.15 versus $2.04 in the third quarter of 2023. This quarter continued the solid AFFO growth we have experienced this year with short-term interest rates stabilizing. We've also benefited from mid-single-digit growth on the top line during the first 9 months of the year. Local and regional sales grew for the 14th consecutive quarter, but softness in national sales continues to be a headwind to our overall revenue growth. In spite of the backdrop of the national business, we are encouraged by the resilience of local and regional sales, which accounted for approximately 79% of billboard revenue in the third quarter. On the capital expenditure front, total spend for the quarter was $30.1 million, including $11.3 million of maintenance CapEx. Through the first 3 quarters of the year, CapEx totaled $82.3 million, about $36 million of which was maintenance. And for the full year, we anticipate total CapEx of $125 million with maintenance comprising of approximately $50 million. Last month, we extended the company's $250 million AR securitization for 3 years, and the facility now matures in October 2027. The company maintains a well-laddered debt maturity schedule and we have no maturities until our $600 million term loan B in February 2027 with no bond maturities until February of 2028. Based on debt outstanding at quarter end, our weighted average interest rate was approximately 5%, with a weighted average debt maturity of 4 years. As defined under our credit facility, we ended the quarter with total leverage of 2.91x net debt to EBITDA, which remains amongst the lowest in the history of the company. Our secured debt leverage was 0.88x at quarter end, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7x and 4.5x, respectively. At the end of the quarter, we had approximately $451 million in total liquidity comprised of $29.5 million of cash on hand and $421.2 million available under our revolving credit facility. Earlier in the quarter, we repaid the company's $350 million Term Loan A using cash on hand and a draw on our revolving credit facility. We continue to monitor the debt capital markets, which have improved significantly and we may take advantage of this favorable environment to issue new senior notes. The use of proceeds from an offering would be to reduce outstandings under the revolver and for general corporate purposes. In September, our Board of Directors approved the extension of our debt and equity repurchase programs, each for up to $250 million. While we do not anticipate activity under either program in the near term, maintaining both preserves our flexibility and as part of our corporate finance strategy. As Sean mentioned, this morning, we increased our full year AFFO guidance for the second time this year. We now expect an AFFO range of $7.85 to $7.95 per share, an increase of $0.075 at the midpoint and up $0.155 from our original guidance at the beginning of the year. Full year cash interest in this morning's guidance totaled $166 million. And as I touched on earlier, maintenance CapEx is budgeted for $50 million, while cash taxes are projected to come in around $10 million. Finally, the company paid a cash dividend of $1.30 per share in each of the first and second quarters. In Q3, we increased the dividend to $1.40 per share and management plans to recommend the same regular dividend subject to Board approval for the fourth quarter as well. In addition, and based on current expectations, we will likely recommend a special dividend at year-end of approximately $0.20 per share depending on the company's operating results. This special dividend, which also is subject to Board approval, will ensure we distribute 100% of our taxable income in line with our dividend policy. If both the regular and special dividends are approved, the result will be a full year cash dividend of $5.60 per share. Once again, we are pleased with the strength of our local and regional sales through the first 3 quarters as well as the momentum we saw in October's results, and look forward to executing on our business plan for the balance of the year. I'll now turn the call back over to Sean.
Sean Reilly: Thanks, Jay. I'll touch on a few of the usual metrics before I open it up for questions. As Jay mentioned, across the country, our regional performance, basically across the top and bottom line was relatively uniform with the exception of the Gulf Coast, which showed a little bit of softness. Political was quite a bright spot, both Q3 and year-to-date. At almost $15 million year-to-date through Q3, we're setting records for political. Notably, October was also a record for Lamar for political. It meant in Q3, political, growth of a little less than 1% for our overall growth. So that was the relative contribution of political in Q3. Other gains in Q3 were primarily rate driven as we are hovering around peak occupancy year-to-date. In terms of our digital count, we now have 4,892 digital units in the air as of the close of Q3. That was an increase of 50 units over Q2 2024, an increase year-to-date over 2023 of 133 units. In terms of same board, I mentioned this is same board large-format billboard only, I mentioned the growth there was 2.1%. Year-to-date, that number is 2.5%. And again, if you take our overall digital footprint, including what we put up this year and acquired and what we have in transit and airports, as a whole, digital was up 5% in Q3. In terms of local, regional, national programmatic share, as Jay mentioned, local regional in Q3 was approximately 79% with national/programmatic coming in at about 21%. That compares to roughly [ 78% -- 22% ] year-to-date 2023. In terms of acquisitions, we closed about 17 acquisitions for a total purchase price of $31 million, and we acquired approximately 90 new faces through that activity. As I mentioned, we pared back our M&A activity for 2024 a tad. You'll see that accelerate as we move into 2025. And then finally, categories of relative strength, as I mentioned, services was up 16%. Government nonprofit was up 17%, and Building & Construction Services was up 29%. Categories of relative weakness, as I mentioned, insurance, down about 10% and restaurants down about 2.4%. All right, Brittany, we will now open it up for questions.
Operator: [Operator Instructions] Our first question will come from Cameron McVeigh with Morgan Stanley.
Cameron McVeigh: Just curious, as you look ahead into 2025, how you're thinking about the growth opportunity and the potential growth drivers?
Sean Reilly: Certainly, we're going to be looking to programmatic to be a contributor there. And we're also looking for a rebound in national. Some of that is going to be easy comps. I hate to use that as a reason why we're going to do better in national, but it's the math of that. And again, we're seeing some customers come into our book through programmatic that have traditionally not been big players in out-of-home, consumer packaged goods and pharma. So we're certainly looking to that.
Cameron McVeigh: Great. And then secondly, I guess just from an industry perspective, could you discuss the current state of programmatic ad spending in out-of-home and the long-term industry impacts?
Sean Reilly: Sure. As you're aware, when talking about Lamar in particular, we limit our programmatic channel to national customers. And we limit it to those buying agencies that are digital specialists, i.e., they only buy programmatically. And that universe of buyers is growing, and that's why our programmatic book is growing. And certainly, when you hear from the other industry players, you'll hear the same thing. Where we see this going, number one, we see the general digital pot of advertising growing much faster than the traditional pot of advertising. And those 2 pots are actually probably going to merge in 3 to 5 years. And so you'll just talk about ad spend and you won't really break it out that way, which leads us to the conclusion that programmatic is going to be even more important as that channel is opened up to more, I would call traditional ad players. And then finally, what we see happening is opening up that channel to our local book, our local and regional book. And then that's when it becomes really exciting. So it's going to take us 3 to 5 years to get there. And -- but when we do, you'll see a whole lot of ad dollars going through that channel.
Operator: We'll take our next question from Jason Bazinet with Citi.
Jason Bazinet: I just had 2 questions. One, it was nice to see the AFFO guidance is up, as you said, about 2% from where we started at the beginning of the year. But I noticed that the earnings number fell about 1% over that same period. So I was just wondering, could you just tease out sort of the dichotomy between the earnings and the AFFO? And then my second question is on programmatic. I may be misremembering, but when programmatic first started, I would almost characterize your tone is somewhat cautious on it just because of the negative margin implications and now you seem less concerned with that. And I don't know if that's just because the quantum of programmatic dollars are so huge, if it just makes sense? Or if the margin concerns you had early on are just no longer applicable because of some shift in the industry?
Sean Reilly: Yes. Jason, I'll hit the programmatic question, and I'll turn the net income question over to Jay. So yes, programmatic margins. It is a fact that today, the cost of a programmatic sale runs about 10%. And our overall cost of sales, what we pay our account executives and what we pay our national account managers runs about 6%, right? So you got about a 4% delta there. Now where do we see that going? Number one, we get a slightly higher CPM through the programmatic channel, and our customers are willing to pay that higher CPM because they get a richer data set that helps prove out the effectiveness of their campaign. So that little bit of extra expense is offset by a higher CPM. The other thing that we see happening is it's 10% for that channel when we have $40 million going through it. But when we have $240 million going through it, we're going to see that cost go down. So we're looking at volume to bring that cost down.
Jay Johnson: Jason, on the net income question, it's our stock compensation plan, which, as you know, is noncash. If you look at where our stock is trading now, it's significantly higher than it was at this time last year. And our plan is based around fix shares. So fluctuations in stock price can really impact the value there. The other contributor on the stock compensation plan is simply where we're tracking against budget. We're having a much better year than last year. So our payout on a percentage basis is going to be higher. So you put those 2 things together, and that's why you see the increase in the stock compensation.
Operator: We'll take our next question from Daniel Osley with Wells Fargo.
Daniel Osley: [indiscernible] political, if I may. I think you mentioned the political contribution as $50 million year-to-date and seeing a record as of now. I guess can you help us think about the political contribution for Q4? And then maybe relatedly, we saw TV broadcasters report this week, and they collectively talked about their core ads being down somewhere between mid-single digit to high single digit from political crowd out. So do you think you picked up any of those dollars? Or did those advertisers completely drop out of the market?  It doesn't seem apparent in your results that maybe you benefited from crowd out in the quarter, but anything you can add there?
Sean Reilly: We lost you there at the beginning of the question, but I'll just hit what I heard. So political, as I mentioned, was -- is about $15 million year-to-date. In Q4, it's going to be about that number, give or take. So we will end the year close to $30 million total in terms of political. So that will give you a sense for where it's going to land in Q4. We can't -- we can't measure it in terms of TV political crowding out their traditional spend and how much of that comes our way. But we know some of it does. And so we're going to have -- you can just sort of see it in the growth in our book. So I think that's what I heard your question to be whether or not we pick up some of those dollars. And again, I can't measure it, but anecdotally know that it happens.
Daniel Osley: That's helpful. And then maybe just one more, if I may, on '25. So we've done some work on the financial benefits from digital conversion, but can you talk about the potential revenue uplift that you might expect from adding almost twice as many digital billboards next year as you did this year?
Sean Reilly: Sure. I'll just do it based on sort of unit economics, right? So I'll make -- I'll just illustrate one and then you can extrapolate. So when we take down a static unit, on average, it's doing about $3,000 a month. And you replace that with digital unit that cost you a little over $200,000 to make the conversion. And your revenue lift is, give or take, 5 or 6x. So you're going to do something in the neighborhood of $15,000 a month on that board now. So that's sort of the unit economics of a conversion. And it's been very gratifying for us to see that those economics have held up over the decades that we've been doing this. It's been remarkably stable that, that return and those unit economics. Interestingly, from the advertiser's point of view, as I mentioned, they're paying about $3,000 for the space for a static unit, but they then have to buy the substrate, right? They have to buy the vinyl and amortize that cost over the length of their contract. When they move over to a digital unit they're paying about the same absolute dollars. They're paying about $3,000 for the slot that they occupy, but they don't have to pay the production. And they can, of course, change their copy from their desktop at their will. And that flexibility is why they're willing to share the space with other advertisers. So their absolute dollars in terms of the cost of the space stays about the same. Their cost per thousand impressions goes up. So that's the economics of a digital conversion, both from our point of view and from our customers' point of view.
Operator: [Operator Instructions] Our next question from David Karnovsky with JPMorgan.
Unknown Analyst: This is [indiscernible] on for David. Two questions. One, you had mentioned last quarter gaining share in programmatic due to better metrics in large format. I just want to ask if you could provide some more color on how you're able to measure these KPIs and improve them out to marketers and how well known this is or if there's more room to take share as the data increases and education continues? And then secondly, I wanted to ask if you could provide any color on what kind of opportunities you're looking at for M&A going into '25, if there's any specific geographies or capabilities you're willing to build out?
Sean Reilly: Sure. I'll hit the M&A question first. We kind of purposely slowed down a little bit this year. We were catching our breath and we were preparing our balance sheet. And as you know, we retired our Term A loan. And all that work has been done, and it's been incredibly fruitful in terms of where our balance sheet is. As a matter of fact, when we close the books on 2024, our leverage, as measured by our bank covenants is going to be less than 3 for the first time in the company's history. So we're really happy about the work we did there. And part of that was slowing down the M&A activity this year. So that said, going into next year, we see it picking up. And without talking about specific transactions, the first level of activity is going to be the fill-in activity that we're, quite frankly, very good at. I mean, if you look at footprint, we're nationwide and basically everywhere. So almost any M&A activity for us is going to be fill-in, where we just absorbed the inventory into our existing operations. And it's a very predictable exercise. We're very, very good at it. And at the end of the day, it's not really geographic specific. We can absorb anywhere -- inventory basically anywhere in the country and any region in the country. So yes, we're going to be very active next year, and we're looking forward to what that brings to our footprint and to our customers, and quite frankly, enhancing our margins. The question on -- what was the other one? What was the other question?
Unknown Analyst: The other question I had was you'd mentioned gaining share in programmatic due to better metrics in large format. And so I wanted to ask if you could provide more color on how you're able to measure those KPIs and how well known [indiscernible]?
Sean Reilly: Yes, yes. Sure. So it's increasingly well known in the industry. There are third-party data providers that can do attribution analysis and measure foot traffic and lift as part of a campaign. Quite frankly, there are more of those third-party data providers today than there have ever been. So it's going to be an increasingly good thing for the industry. And again, our programmatic customers are willing to pay a slightly higher CPM because it is included in their buy by the programmatic enablers, folks like Vistar and the like who are plugged into our pipes and enable us to deliver programmatic buyer to those digital buyers. So that's essentially what's going on out there, and it's increasing as more third-party data providers come to the fore.
Operator: We'll take our next question from Lance Vitanza from TD Cowen.
Lance Vitanza: You called out Gulf Coast was a drag on results. Any thoughts as to why? And are you seeing that come back in the fourth quarter? I'm wondering if the weakness was more or less pronounced at either the beginning or the end of the quarter? Was it evenly distributed? What's going on there?
Sean Reilly: Every now and again, you'll have a region that just is catching its breath, and maybe not the local economies aren't as robust as what's going on elsewhere. So for us, the Gulf Coast is essentially Arkansas, Louisiana, Mississippi, Alabama, is the basic Gulf Coast region. And I don't think there's anything to be read into that really. It's just things might just have been a little bit softer there, and they'll come back.
Jay Johnson: I'd also add, Lance, that in Q3 of last year, the Gulf Coast outperformed the broader portfolio. So a little bit of a headwind there from a year-over-year company.
Sean Reilly: Yes, they had a tougher comp in some of the other places.
Lance Vitanza: Got you. And then just on the M&A outlook, could you talk a little bit about why you're seeing it picking up? Is it a function of interest rates having stabilized beginning to come down? Or is it the improving outlook for the real economy? Is it people kind of buying in more to the -- well, just wondering what's driving that trend? Or was this just really more driven by your internal decisions to take a pause?
Sean Reilly: There were certainly a little bit of that, Lance, in terms of when Lamar decides to catch its breadth, everybody sort of slows down a little bit and then when we say, look, the checkbook is open, come talk to us, keep in mind, a lot of our M&A activity is internally generated. These are either entrepreneurs or family, mom-and-pop operations that have been around for a couple of decades. We know them well. And when they decide to sell, they give us a call, right? So some of it is just that. And then some of it is just, I think to your other point, as interest rates start falling, then activity picks up. And we're in a different interest rate cycle. So I think those 2 things will make for an active year next year.
Lance Vitanza: And you mentioned tuck-ins a couple of times, but what about a potentially larger transaction, something like an Adams or a Link, would you consider -- or would you consider those tuck-ins?
Sean Reilly: Well certainly, there's a measure of tuck-in in both of those. We don't obviously control what those guys are going to do. That's one of those things that's more event-driven than sort of day in, day out tuck-in acquisition activity that we engage in. So yes, that would be sort of a stay tuned.
Operator: And we have no further questions in the queue. I will turn the program back over to Sean Reilly for closing remarks.
Sean Reilly: Well, thank you, Brittany, and thank you all for your interest in Lamar, and we look forward to talking with you again as we turn the page into 2025. Thank you all.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful day.